Operator: Good afternoon and welcome to the Skyworks Solutions fourth quarter fiscal year 2010 earnings call. This call is being recorded. At this time I’d like to turn the call over to Steve Ferranti, Investor Relations for Skyworks. Mr. Ferranti, please go ahead. 
Steve Ferranti: Thank you, Robby. Good afternoon everyone and welcome to Skyworks fourth fiscal quarter 2010 conference call. Joining me today are Dave Aldrich, our President and Chief Executive Officer; Don Palette, our Chief Financial Officer; and Liam Griffin, our Senior Vice President of Sales and Marketing. Dave will begin today’s call with a business overview, followed by Don’s financial review and outlook. We will then open the lines for your questions. Please note that our comments today will include statements relating to future results that are forward looking as defined in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially and adversely from those projected as a result of certain risks and uncertainties, including but not limited to those noted in our earnings release and those detailed from time to time in our SEC filings. I would also like to remind everyone that the results and guidance we will discuss today are from our non-GAAP income statement consistent with the format we have used in the past. Please refer to our press release within the investor relations section of our company website for our complete reconciliation with GAAP. I will now turn the call over to Dave for his comments on the quarter. 
David Aldrich: Thank you, Steve and welcome everyone. I’m pleased to report today that Skyworks exceeded the upwardly revised fourth quarter outlook that we provided at our September analyst day meeting demonstrating solid execution and a strengthening competitive position. Specifically in the quarter, we delivered revenue of 313 million. That is up 14% sequentially and is up 37% year-over-year. We expanded our gross margins to 43.8%, and our operating margin to 26.1%. We improved our operating income by 92% year-over-year to 82 million and we posted $0.43 in earnings per share. We also strengthened our balance sheet during the quarter increasing our net cash position by 69 million and exiting the quarter now with 459 million in cash. Our strong fourth quarter results were driven by our mobile internet and our diversified analog growth edges. First, with regard to mobile internet, we are continuing to see increasing momentum given consumer’s growing appetite for anytime, anywhere connectivity. And by all account global adaption of smart phones is happening at an accelerating pace, now at least 4 times the growth rate of the traditional cellular handset market. And to be sure that we benefited from the rising tide of increasing RF content associated with these band-intensive 3G and 4G platforms but more importantly as demonstrated by our more than 35% year-over-year growth rate, Skyworks is on an even steeper growth trajectory. The growth is being driven by: First, recent share gains stemming from our strong relationships spanning all leading smart phone and tablet OEMs. This is coupled with our technology leadership, our integration capabilities, and our scale advantages. At a higher level, there are a number of factors that are contributing to our growth in the mobile internet sector. To start, we are increasingly seeing multiple devices per subscriber. In fact AT&T is now projecting mobile penetration rates to reach 300% within the U.S. over the next 3 years. This means three mobile devices for every man, every woman and every child in the United States by the year 2014. And this growth will be fuelled by a host of new devices above and beyond traditional cellular handsets and even above and beyond smart phones encompassing high resolution tablets, USB modems, home networks and still yet to be introduced internet connective devices. Proliferation of these devices within the U.S. represents we think only the tip of the iceberg as compared with the substantially larger global opportunity as the developing world becomes even more connected. Further, the move to 4G represents a significant market expansion opportunity for us. Verizon recently announced that it would have LTE service in 38 cities this year and operators throughout the world are announcing plans to rapidly follow suit. By early 2011, we expect to see a host of LTE capable USB modems, tablets and smart phones. As this next wave approaches, Skyworks has a clear early mover advantage having powered not only the world’s first commercialized LTE USB modem but also the very first LTE-based phone on the market. And finally, we are solidly out in front of the rapidly emerging tablet segment where we are seeing exponential growth. The applications are seemingly limitless today and these platforms are enabling entirely new usage models, everything from e-health, to replacing textbooks, to watching high definition football game on direct TV Sunday Ticket to-go. Early tablet adaption rates continue to exceed expectations and we conservatively estimate this market can surpass 200 million units by the year 2014, creating an incremental billion dollars of addressable market for us. You see these RF content rich devices rival and in some cases they exceed the dollar content in high end smart phones and here again Skyworks maintains a clear market leadership position having shipped over 4 million units into tablet applications in the fourth quarter alone. In parallel we are gaining traction on the network infrastructure side of the mobile internet connection. As operators install new base stations, new routers, and back haul equipment to expand coverage of data services, alleviate capacity bottlenecks and prepare for next generation LTE deployments. Consumer demands for anytime anywhere internet access is creating exiting new growth avenues for wireless carriers who in turn are making significant new investments in their networks to support wider adaption of these very lucrative services. According to a recent InStat mobile internet group research report, infrastructure expenditures by mobile operators will need to scale up by more than 40% in the coming years to meet this fast approaching demand. At the same time operators in emerging markets like China, like India are in the early stages of 3G build ups and are spending aggressively to roll out service for the first time on a nationwide basis. Both of these trends are creating a tremendous opportunity funnel for Skyworks and to support these upgrade we have developed a multitude of infrastructure solutions including attenuators, synthesizers, mixers, LNAs, to modulators. And I think importantly, our portfolio is moving away from component level offerings towards highly customized, highly performance driven modules that command higher rates as fees and create more formidable competitive barriers. And specifically during the quarter, we increased our share at HUAWEI and ZTE with our family of high performance broadband synthesizers and system at a package solutions spanning ultra wide frequency ranges. We captured design wins in support of Cisco’s fiber to the curve and fiber to the home applications. And we now support Ericson’s 4G and LTE-based station platforms with new digital attenuators and low noise amplifiers. So in short global penetration of the mobile internet entails upgrade to both existing client devices as well as to the supporting network infrastructure. And Skyworks is well positioned to capitalize on these twin mega trends. Okay, having covered mobile internet let us turn our attention to the diversified analog market. Some examples that we have highlighted in the past have centered on the energy management markets which continue to trend very positively for us particularly with our recent entry into LED streetlight monitoring and control applications. But today, I would like to spend just a couple of minutes focusing on a complimentary ecosystem that we believe holds significant potential for Skyworks which we will refer to as home networking and automation. This product area extends several of our smart energy solutions into the home and enables connectivity across a range of products including gaming consoles, set top boxes, printers, appliances, HDTVs, Blu-ray players as well as remote home security and monitoring systems. And these new class of enabling wireless device requires high data rates, requires extended network range, and a reliable radio signal performance. This plays directly into Skyworks’ strength. And in this area during the quarter, we secured a key design win as part of Cisco’s Scientific Atlanta cable set top boxes and Linx’s branded home wireless audio and video monitoring systems. And we ramped this part of Microsoft’s next generation X-box 360 and we also captured design wins on a forth coming IP-based television platform. Given all of the revenue drivers that we have discussed, we are entering FY 2011 poised to demonstrably outpace industry growth, (underpinned) by our design win momentum, by a product pipeline and by scale advantages. Operationally speaking, Skyworks is making strides towards a new midterm operating model targeted at 30%. So in summary, we believe that our strategy of diversifying across new vertical markets and diversifying our customer base while continuously improving operational execution will translate into above market growth, greater operating leverage, and increasing shareholder value. I’ll now turn this call over to Don for his financial review. 
Donald Palette: Thanks, Dave and thanks again for joining us, everyone. I will first provide a quick summary of our fourth fiscal quarter results and then outline our business outlook. Revenue for the period was $313.3 million, up 37% year-over-year and 14% sequentially, versus our updated guidance of 310 million. Gross profit was $137.3 million or 43.8% of revenue, a 290 basis point year-over-year expansion which was driven by a product mix that increasingly includes higher-margin vertical market in 3G solutions, volume ramp of new products, margin enhancing demand driven capital investments, continued manufacturing productivity enhancements and product end and yield improvements. Operating expenses were 55.5 million, of which R&D was 33.5 million and SG&A was $22 million, yielding $81.8 million of operating income and a 26.1% operating margin, a 750 basis point improvement year-over-year. Our net interest and other expense for the quarter was 400,000 of expense, while cash taxes were 2.7 million. As a result our net income was $78.8 million, or $0.43 of diluted earnings per share versus our guidance of $0.40. I did want to point out that we recognize the $0.02 per share benefit associated with lower than expected taxes in the quarter. Excluding this benefit our fourth quarter earnings per share would have been $0.41. Turning to the balance sheet, during the quarter we increased our net cash position by 69 million sequentially driven by 82 million in operating income, recorded 12 million of depreciation and invested 29 million in capital expenditures. As a result we exited the quarter with 459 million of cash and cash equivalent. Having completed the six-inch capacity expansion in our Newbury Park fab last year, we have strategically focused our more recent CapEx investments on expanding our assembly and test capabilities in support of our improving outlook and high visibility. These back end investments come from our 6 inch wafer transition and hybrid outsourcing model and are focused on equipment adds to eliminate internal bottle necks. Importantly and inversely all cases we anticipate these investments to payback within the fiscal year, while expanding margins and improving our return on invested capital. Now to our business outlook: Based on specific program ramps and backlog coverage, we are forecasting current quarter revenue of 330 to 335 million, gross margin expansion to roughly 44.5% and operating expenses of approximately $57 million, yielding a 27 to 28% non-GAAP operating margin, which is squarely on track to our previously outlined medium-term operating model target. Below the line we expect 200,000 of net interest and other expense and incidentally we anticipate paying off our 50 million credit facility this period further deleveraging our balance sheet. This repayment will be an accretive use of cash given that the rate on the facility is significantly higher than our earned interest rate. Also of note based on the implementation on a number of business initiatives we now believe that our cash tax rate for Q1 and for the remainder of fiscal year 2011 will be 9% as compared with our prior outlook for a 10% to 12% cash tax rate. As a result, we expect to increase our operational non-GAAP diluted earnings per share of $0.44 in the December quarter off a base of 187 million shares. Well, that concludes our prepared remarks and operator, let us go ahead and open the lines for questions.
Operator: Absolutely. The question-and-answer session will be conducted electronically. (Operator Instructions) We will go first with Ittai Kidron with Oppenheimer.
Ittai Kidron – Oppenheimer & Co.: Hi, thanks and guys, congratulations on good numbers and guide. I wanted to ask two things first. I know you are not giving guidance here on the March quarter but given all the momentum we are seeing in the business, how would you think we need to think about seasonality for you guys in the March quarter? And second, on looking at your accounts receivables and inventories, this is the first time in four-five years that we have seen both actually grow into September quarter. Historically, there has been flat if not down – can you give us a little bit more color into that?
David Aldrich: Hi, Ittai. Thank you. The strength we are seeing today as you know as we have said in the prepared comments is being heavily influenced by demand in the mobile internet and we talked about some new programs that are ramping for us outside of handsets in energy management home motivations and networking products. So, for us, we think that there will certainly be seasonality in margin and most people take that to be 8, 9, 10%. I don’t see any reason to forecast anything different than that and we hope to be able to outperform that given the specific program ramps we talked about.
Donald Palette: Hi, Ittai. This is Don. On the AR in the inventories both will be as lined items on the balance sheet are our director’s volume during the quarter and anticipated future volumes so in the case of AR, it is ultra combination of sales being out and also the linear areas tails that affects what the balance is at the end of each quarter. Our DSO versus in this quarter versus any of the prior quarters this time of year is consistent with what has been. It is not a velocity issue of collections. And on inventory, I turned it actually off from where they have been on prior periods so it is strictly a volume issue.
Ittai Kidron – Oppenheimer & Co.: Was the linearity in this quarter any different than in the past?
Donald Palette: Slightly, but it is enough – it is really volume and a little bit of linearity but again, the DSO is consistent with what has been in the past.
Ittai Kidron – Oppenheimer & Co.: Very good. Good luck, guys.
David Aldrich: Thanks.
Operator: Thank you. We will go next to Craig Ellis with Caris & Company
Craig Ellis – Caris & Company: Thanks for taking the question and nice job once again on the results, guys. I am not sure if this is for Don or Dave but as you look at the outlook and think about the underlying businesses, can you help us understand some of the gives and takes across the handset business, linear products, etc?
David Aldrich: Thank you. This is Dave. Maybe I can help you with this. I would say that clearly in the mobile internet spaced smart phones tablets and some of the feature-rich phones where we are benefitting from some of our chips and relationships we are seeing strong momentum there. And we are also seeing as we talked about some these energy management home automation. They are starting from the small base where we are seeing sequential growth there. We are seeing some choppiness clearly in China. We factored that into our guidance but we have seen some areas of softness in that part of the world. We have been monitoring our inventory levels both with distributors and very, very closely and there is no issue there. There is no inventory overhead anywhere that we can see. As you probably know almost half of our revenue now goes through this consigned hubs that we have very, very good visibility in the component supplies. We don’t think there is an inventory overhang anywhere in the channel that we could see in the mixed shakes throughout the way I described.
Craig Ellis – Caris & Company: And the handset comment – excuse me, the China comment was that handset infrastructure or both?
David Aldrich: It is really handset – actually we are seeing some nice strength in infrastructure. We talked about HUAWEI and ZTE, we won some system package of VCO/Synthesizer business there so our share of those two customers is expanding so it is really the well-publicized handset softening that we have been dealing with now for a few months.
Operator: Thank you. We will go next to Anthony Stoss with Craig Hallum Capital.
Anthony Stoss – Craig Hallum Capital: Hi, guys, also my compliments. Can you talk a little bit more about capacity on where you are at, how much more room you have or AWS has. Also, kind of lead times on what percent might be put to your guidance. Thanks.
David Aldrich: Sure. And Anthony we will talk a little bit about capacity. Right now, we believe we are well-positioned with our current capacity profile and our ability to meet customer demand. We will successfully increase our capacity over the last three to four quarters all of our internal fabs and our assembly and test operations. We will also continue to leverage the hybrid manufacturing model and with that leverage with this dual combination of expanding internal capacity preparing our suppliers to get rid of handling capacity. This will allow us to keep internal utilization high, leverage with external partners and with both of those things aimed at rose margin expansion and our return on investment capital expansion. That is the end result for us.
Anthony Stoss – Craig Hallum Capital: Okay, the percent booked to your guide currently?
David Aldrich: Consistent with the way we typically do this forecast when you look at back log and you look at the hub hole forecast it is virtually 100%.
Anthony Stoss – Craig Hallum Capital: Okay, thank you.
Operator: And we will go next to Jonathan Goldberg with Deutsche Bank.
Jonathan Goldberg – Deutsche Bank: Hi, thank you for taking my question. First on China – do you have better exposure or better flat rates to some of the basement ecosystems there that others and there is a little bit of a share shift price going on in that market. I just was just wondering how diversified you are across baseband ecosystems.
Liam Griffin: Jonathan, this is Liam. We are diversifying in sort of the immediate technical larger player and we have great position there. We have expanded which (inaudible) and smaller players like Mstar. So we will be diversified as much as possible across the basement partners. Another move that we are making now that you will are going to see the benefits of in 2011 is consorted effort to penetrate HUAWEI and ZTE more fully. Moving in the 3G Technology – they are basically in China right now. The lead players for 3G to are doing some great work with data cards as well as handsets and as Dave has alluded to our infrastructure opportunity in China looks very promising. We are starting to see strength now come together in our integrated package is not – I think that has a tremendous operation cycle worth coming in 2011.
Jonathan Goldberg – Deutsche Bank: In a case of HUAWEI and ZTE handset business do you sell them directly now or does it go through distribution?
Liam Griffin: Directly. We sell directly there.
Jonathan Goldberg – Deutsche Bank: Okay, great. Thank you. 
Operator: And we will take our next question from Parag Agarwal with UBS.
Parag Agarwal – UBS: Hi, guys. Thanks for taking my question. Just wanted to get the idea of your design and momentum in the sense that I mean – I just wanted to get a feel of (inaudible) is going to shape out based on your current designing and based on your designing momentum. Like now, do you feel that you are getting share at your existing customers?
Liam Griffin: I think really the good news in the transformation of our business over the last few years has been it has moved so far away from many commoditized business like the old 2G days when there was an opportunity to win a design and then have to reoffer or recompete for that design. Today it is all around pretty highly customized solutions with our chips and partners going at specific statements or specific OEMs and so we know what we wanted and we know where we are positioned and I think one thing that is very, very unique about us is that we are in production with all OEMs and all smart phone manufacturer. We have relationships and volume with all of the major baseband providers in the world – all of them. So I think at the market as we describe at our analyst day and then prepared comments for smart phones, for tablets and the overall handset market is going to be strong. It is going to be shifting again away from the low end, low performance towards future phones and the high end. That is a clear shift that will continue and we have decreased our share in each one of those segments going in 2011 versus where we are at 2010. We are very confident of that because it is kind of something you do not launch a phone in 2011 unless you are working in that ecosystem 18 months ago.
Parag Agarwal – UBS: Okay. Don, if you look at the gross margin how should we think about incremental gross margin going forward to 2011 and also how is the offers going to trend?
Donald Pallete: Okay, again we do not guide out beyond the current quarter but the way to think of it I think is related to the business model target that we have at 30% return. With that model works to the minimum of 45%, we have a higher goal on that internally but clearly if you think in terms as revenues continues to ramp and we continue to focus on initiatives we have in place and we continue to get the higher dollar content, the higher margin that we are getting with the product shift that is going on with each segment, those are all going to be margin enhancers and will continue to drive margin forward to that minimum goal 45 which again makes that 30% model work with a higher goal internally to drive that number above that.
Operator: Thank you we will go next to Quinn Bolton with Needham & Co
Quinn Bolton – Needham & Co.: Hey, Dave, I just wanted to try and reconcile your comments about the inventory comment on the call there last night. Did they see a typical – bigger than typical seasonal build at the holidays? They sort of cautioned that they might have to work out of that margin on June. It does not feel like you are necessarily seeing the same things but just wondering if you could provide some additional comment?
David Aldrich: As I said, we are benefiting by the fact that we are in this hub arrangements with virtually all of our major customers and increasing now even with our linear product customers so the way those works is a work in the forecast that forecast is updating continuously but more importantly we are able to see into to their production volumes and how they pulling and drawing those lines. And so there really is no opportunity to have component build in inventory because we are watching it real time daily in fact. So we benefit from that and we do have our distribution businesses where you can get kind of caught up in and out of itself when we look at the turns for where every component with the distributors we have and we have gotten better over the year that really being able to question and challenge where we are seeing puts and takes on that inventory and we think that it is quite in control. So I would say that given what we know today we do not see any meaningful packets of inventory anywhere that I can point to.
Quinn Bolton – Needham & Co.: It sounds like that you are looking at from the component perspective, is that correct?
David Aldrich: That is correct. 
Quinn Bolton – Needham & Co.: Do you have any view into the retail channel for mobile phone that might be the difference?
Liam Griffin: Yeah, I know absolutely. This is Liam. We speak with our customers on a regular basis specifically let us say the top five major handsets OEMs and the larger smart phone players. We are having discussions with them weekly. We have very good visibility for the hub equation that David mentioned so that gives us in fact day by day inventory visibility and with respect to carrier inventory right now we feel like it is in balance.
Operator: We go next to Nathan Johnson with Pacific Crest Securities
Nathan Johnson – Pacific Crest Securities : Yes, thanks for taking my question. I just want to talk a little bit on the competitive situation that one of your key competitors has been certainly talking quite a bit about the expectation per share gain (inaudible) their version of (inaudible) on 2011. I just want to get your guys’ perspective on how important (inaudible) is going to be in 2011 and how Skyworks is addressing that particular setup and then secondly just as far coming back to the design link question given the amount of customization and it sounds like increasingly going this whole source, I was just curious – how far out you guys now are seeing design? Did you have a sense for the next six months? Do you have an idea of the designs you were into even beyond that or you could just try some color there?
David Aldrich: I think it varies from customer to customer. I would say for the most part we are competing for designs today that are in the 2012 timeframe. The 2011 designs have been in those ecosystems if you will. By ecosystem, I mean you know the front end provider working with the baseband chips set providers selling into either a broad channel to a reference design or into a specific OEM. I know the decisions have been made for (inaudible) production 2011. So the visibility is quite good of how our position and in answering the question about how important it is if we would just look at (inaudible) you need because we do shift to all the OEMs and we are on all the baseband platforms not every baseband platform but all the baseband partners. Major baseband suppliers use our chipsets. So we are able to get a good sense where the market is directing or it is moving and it really is the case typically for 2011-2012. It depends. We have customers who are using very performance-oriented, quite discreet solution because they are very concerned with the overall high – keeping the high absolute performance. Those designs are quite discreet. At the other end of this spectrum there are customers and there have been partners driving a multimode hybrid but different approaches –very different approaches, different technical architectures around what that multimode would look like. Not different as to what they will do but how they will be architected in the system and then there are a number of customers who are somewhere in between our code hybrid – some discreet elements to gain performance of certain specific bands and for certain markets and then coupling others in highly integrated call of multimode if you will so it is an important solution. It is one of several and we have very good visibility in to what customer want and we actually follow our customers’ lead and we work very closely with our partners to make sure that the technological solution we provide is competitive and we are very, very competitive across the discreet solution – the hybrid solution of multimode. Can you maybe elaborate a little bit more different on how you expect your (inaudible) to differ from the empowered (inaudible)?
David Aldrich: I think that there are different technical approaches to how one might implement the chipset itself but let us be clear. The architecture that this various converge platforms are going after had been set, the foot prints has been set, the current consumption goals had been set, the power and the efficiency has been set, the all of the said set of systems specification are designed and known and we are meeting and or exceeding those system specifications in the architecture and our cost structure is lower than anybody. We are convinced to that for a lot of reasons so I think we are extremely competitive relatives to the system specs that our customers or partners need.
Nathan Johnson – Pacific Crest Securities : Let me just add that you know every customer is given access and visibility to each one of the technologies that David mentioned fully converged a hybrid or discreet and really the way this pendulum works is the more discreet implementation the better performance. You literally build a device for a specific frequency and a specific band rather than comprising in a converged environment. I can tell you that customers today the most compelling OEMs and smart phones and tablets, these data rich devices that we mentioned is a performance driven market. It is performance driven market. We can go in any one of the three boxes but what we were seeing now is a prevailing view that has been go performance. Give me the values solution but it needs to be a high performance and that is leading more towards hybrid or discreet.
Operator: Thank you. We will go next to Tore Svanberg for Stifel Nicolaus.
Eric – Stifel Nicolaus: Thanks, guys for taking the question this is Eric calling in for Tore. Maybe you could just elaborate a little more the (inaudible) integrated product we just discussed now. If you could talk a bit about the performance of your solution and perhaps give some customer feedback to date any known issues. That will be helpful. 
David Aldrich: The customer feedback has been extraordinarily good. Extraordinarily good. These devices are complicated. They are being implemented in different architectural approaches. At the end of the day, the customer does not care to the extent that it meets its size, performance cost and system specifications. And so we look at the marked key customers who we think that can be either early adapters or drive volumes of those products. We believe we have the best solution in the industry. And we are getting that feedback from our baseband partners. We are getting that feedback from major customers.
Eric – Stifel Nicolaus: Okay, that is helpful. Maybe just two quick ones, could you give the split between the linear and the handset business and then maybe just comment on where the yields are and cycle times based on the similar commentary you gave last month or the end September 30 during your analyst data? It would be helpful, thanks.
David Aldrich: I heard the split between the handset and linear is consistent from where it is been for the last several quarters 80% handset, 20% linear. One of the points I wanted to make on that is that we talked a lot about that our linear product business. The margin are created with the overall business and that is certainly true but one of the things that I wanted to point out is that we have had some pretty strong growth factors in the handset business and we have been able to that linear product percentage is not moving a lot being fairly consistent flat for the last multiple quarters. We still have been able to consistently grow and expand our product margins and our operating margins and that is a direct result of the mix that you are seeing within linear products and within handset as well and we just guided a 700-point margin improvement. So just want to make that point that the core products within each of those segments – the tide is rising on a margin (inaudible) to those.
Eric – Stifel Nicolaus: As a follow on with Donald’s comments, with these multi-mode solutions the very first large customer going into high volume production will be early in 2011. The yields on those products and the margins on those products look very good. And to that we will be the first supplier in volume production with the multi-mode solution in the world and the yields looks very good on those products.
Operator: We will take our next question from Richard Shannon with Northland Capital.
Richard Shannon – Northland Securities: Hi guys. Once again congratulation to very nice numbers. My first question I guess is on the pricing environment. It seems like this year been a fairly good pricing environment relative to your historical norms. You have talked about the transition from more discreet solutions to customized modules going forward. I would love to get your thoughts on how the pricing environments flushing out for next year is going to be more like what you see in past years or more like what you see on 2010 or how do you see that playing out?
Liam Griffin: Chard, this is Liam. Yeah, the pricing environment has been not well balanced so far, nothing unusual. What we are seeing as I mentioned earlier is what we really liked about this market today is there is so many opportunities for us to differentiate and deliver solutions using creative architectures. Again, playing off with our performance theme so we believe that we are going to see devices going to 2011 quite a bit different than what we are shaping out in 2010. A lot more integration in some cases. There are some higher performance devices in market like LTE. There you can have very significant ASPs but also provide great performance and great value to the customers. So I would think 2011 would work a little bit like 2010 and maybe more favorable from these perspective.
Richard Shannon – Northland Securities: Okay, great. Second question, you talked about some great growth drivers in both in your wireless and your linear product group there is. As you see today, 2011, any sense of which group would either one grow faster or mature faster than the other or they look both kind of in a similar growth range?
David Aldrich: They have been both growing similarly which is a testament to the strength of (inaudible) in your product. I think you have probably seen that the diversified in locked market has been struggling a little bit with overall top line growth rate. That has not been the case with us. Part of it is because we are relatively new to some of the vertical market we discussed in our prepared comments so the starting for small base then grow trajectory quite high in energy management network infrastructure and so on. So that is the case and you will see that even within our handset business – that handset business now is queuing so heavily towards smart phones, towards tablets, towards very featured rich products and the ASP with those products is very high in the margin profile is different better. And so it is a very different market. Our (inaudible) business is becoming more customed. I see vertical market driven in less component like and our handset business is becoming much more customed solution oriented around high value, high performance. We are offering our customers a great deal of functionality for the dollar which puts much pressure on the ASP.
Operator: Thank you. We are going next to Edward Snyder with Charter Equity Research.
Edward Snyder - Charter Equity Research: Thank you very. Dave, can you give us some idea, I mean given that you have the historical breakdown with Finland in your handset. Did you know that it has given a lot of ground that Nokia recently and then of course your number one customer (inaudible) has done well. Is it safe to say that the business from your top two customers is more than 30% of total revenue?
David Aldrich: Yeah. The top 10 percentage costumers – they are the same as the previous quarter with Nokia, Samsung and (inaudible).
Edward Snyder - Charter Equity Research: But even if you combined those three are we talking 15% of total revenue, 35%, 40%?
David Aldrich: We do not break those percentages down. The only time we do any percentages, anybody who is 10% or exact numbers when we do the (inaudible) on an annual basis. But quarterly Ed, we do not provide that detail.
Edward Snyder - Charter Equity Research: I know and that why I was asking for the color. Okay. On the converged side of the business, as you know I may commit a big deal of winning some flaws as limited to (inaudible) and I know we tried chatting about this in the past. It appears that several people are technically having difficulty with the truly converged PA. Is this informed maybe your trust in a more discreet hybrid solutions or while trying to get to hear in your discussion with the OEMs given some of the difficulty, the technical difficulty that people are getting solutions to work. Is this coloring their move or deployed road map that maybe use hybrids up to the 3, maybe in 4 band level for some of the converged or smart phones or do you think this all going to fall by the wayside in the next 18 months and that will make a much bigger push to the more truly converged amplifiers that we are using right now?
David Aldrich: It is a lot of questions there but I appreciate it. I believe that these converged platforms will play. They will get the technical issue resolved. They are very complicated. But they will work. They will take longer to get to market than most people projected because that is often the case with new technology. I am also convinced that it will be a market that becomes segmented around different technological solutions. We are now developing product to per customer baseband specification for 2012, 2013 that are very much a hybrid single bands of LTE around some degree of hybrid converged type platform but not completely converged and there are others that will drive towards a more highly integrated. And the trade-off will be performance versus cost versus cost in size. And market will settle into different issues. I think we will utilize one architectural approach versus another so we are very, very agnostic. For us it is we are equally investing in whatever flavor our customer wants and today our customers’ talking to somebody who addresses all of them. They want all of the above. Literally, all of the above.
Operator: Thank you. And once again it is star 1 for questions. We are next to Cody Acree with Williams Financial.
Cody Acree – Williams Financial Group: Thanks and congrats on the numbers. If you look through 11 and 12 and a little further out, significant drivers to verticals (inaudible) maintain but the new inputs have not been seen in the years past. How do you expect as we head into 2012 your vertical mix to start to shake out on a product basis or maybe on a (inaudible) basis?
David Aldrich: I think on a product basis, it will be a product line that is most highly integrated. There will be more silicon content, there will be more frequency conversion, functionality, more complicated devices, a little bit less of the jelly bean components that maybe - launched us into the catalogue business a few years ago. Still a great business but I think that is where the growth will come from. And it will come from the areas we discussed in the prepared comments.
Liam Griffin: Yeah. I think one of the dynamics that we do see in vertical is that every market can converge into wireless in every year so we are seeing things like smart energy 2, 3 years back was a wire line business. The wire line (inaudible) we mentioned some things like LED streetlights monitoring, home automation, security, surveillance, things like that. All of those markets now are kind of coming in on tangents off of our smart energy core. We are also now giving (inaudible) working in wireless infrastructure again. Not only interesting but we can deliver now but looking at ways to expand our (inaudible) in our camp. So I think you are going to hear more about specific segments as well as discreet new vertical market.
Cody Acree – Williams Financial Group: Great. And Liam, I guess following onto that, what is the competitive dynamic differentials in the new vertical versus maybe where you used to compete on the more discreet 2 to 3G (inaudible)?
Liam Griffin: Yeah. I mean that is a great question. We see a whole different customer set when we look at these protocols now. It is as David mentioned that there is still heavily silicon-based technology. We are using creative designs to try to create a better mouse trap so to speak. So we cannot just go in and blow away components. We look at systems, highly system level packages here. Thing we have done with (inaudible) are perfect examples where we going to grade 6 to 7 components to deliver a very high valued, high performance solution that puts up tremendous various entries. So that is going to be the theme around our protocol position. And so is (inaudible), try to deliver something differently but also take advantage of our technical T&A.
Operator: Thank you and with that we have no further question in queue. I like to turn the call back to Mr. Aldrich for any additional or closing comment.
David Aldrich: Thank you very much for participating on today’s call and we are looking forward in seeing you at our upcoming conferences.